Operator: Good morning ladies and gentlemen. Welcome to the TELUS Fourth Quarter Conference Call. I would like to introduce your Chairperson, Mr. John Wheeler, Vice-President of TELUS Investor Relations.
John Wheeler, Vice-President, Investor Relations: Thank you very much and welcome to the TELUS Fourth Quarter 2005 Conference Call and webcast. Let me introduce the TELUS executives online with us today. With me are Darren Entwistle, President and CEO; and Bob McFarlane, Executive Vice-President and CFO. We will start with introductory comments followed by a question and answer session. The news release on the fourth quarter financial and operating results and detailed supplemental investor information are posted on our website at Telus.com. For those with access to the internet, the slides are posted for viewing at Telus.com “Investor Call”. You will be in listen-only mode during the opening comments. Let me now direct your attention to slide 2, the forward-looking nature of the presentation answers the questions and statements about future financial results and targets are subject to risks and uncertainties and assumptions. Accordingly TELUS’s actual results could differ materially from statements made today. I opt that you read our legal disclaimers and refer you to the risks and assumptions outlined in our public disclosure and filings with Securities Commissions in Canada and the United States. Now over to Darren just on slide 3.
Darren Entwistle, President and Chief Executive Officer: Good morning and thank you for joining us today. Today I will recap TELUS’s full-year results for 2005, and review the benefits of our recently ratified landmark collective agreement with the TWU. Finally I will cover the ongoing program for returning capital to investors and also touch on our key priorities for 2006. Moving to slide 4, the clear beam for 2004 is that TELUS once again demonstrated the resilience and strength of our business strategy. This strategy has been executed consistently for over 5 years focusing on national, wireless and data growth fueling it by its acting continued efficiency gains from our core operations. This strong growth overcame a non-recurring negative impact of our labor disruption in the second half of 2005 and the ongoing competitive impacts that we face. At the consolidated level, TELUS delivered strong revenue and EBITDA growth in 2005, up 7%. This with despite the labor disruption here in Western Canada that resulted in $133 million net impact on TELUS’s operating expenses. Focusing on TELUS’s bottom-line earnings and cash generation, net income was up 24% and free cash flow was up 13%. Notably TELUS achieved or exceeded all of our original 2005 consolidated target set over a year ago despite the unplanned work stoppage. Furthermore, we have established a distinguish track record in realizing the detailed targets we have set with investors over the last six years. In this regard TELUS has met or exceeded 88% of a 33 consolidated financial target communicated to the street over the six year period. Slide 5, shows our wireless and wireline business segments. What is particularly important for investors is that with the release today of TELUS’s subscriber results, it is clear that the wireless industry in Canada not only continues to grow but in fact accelerated in 2005. TELUS enjoyed a record year within the Canadian wireless industry that has the highest number of wireless net additions since 2001. The penetration rate in the industry hit almost 52%, up 510 basis points compared to a 440 basis points gain in 2004. This evidence is an encouraging trend in wireless subscriber growth in Canada. TELUS in terms of wireless net additions enjoyed 584,000 new customers over the course of 2005 including 235,000 in the fourth quarter alone. For the full-year TELUS realized 14% growth in wireless customers over the previous year of 2004. Revenue with TELUS’s wireless operations was up an impressive 17% in 2005. Due to strong subscriber growth and another $2 increase year-over-year in ARPU, which of course is the 12th consecutive quarter of ARPU accretion of the TELUS organization. As a result of this growth and as well disciplined expense in for all, we generated strong wireless EBITDA expansion up some 26%. Notably simple cash flow in TELUS’s wireless business measured EBITDA led CapEx was up 32% to $1 billion. Clearly the growth story in TELUS and in the Canadian wireless industry continues to remain strong. With wireless now accounting for 41% of TELUS’s consolidated revenues, 44% of our EBITDA and 53% of our simple cash flow, we are well positioned to deliver continued growth for our shareholders due to the increasing exposure to wireless in our overall asset mix. Turning to the wireline business results, was obviously impacted by the labor disruption this year, they showed resilience to competitors intrusion. Overall, 2005 wireline revenue was up over 1.6% driven by an 8% increase in data, which was offset in part by a modest 4% decline in long distance services. This leading long distance performance demonstrates our premium pricing strategy that preserves value in a mature and declining market. It should also be noted that TELUS achieved its full-year results despite the fact that our long distance win back capability within our call centers was completely incapacitated by the work stoppage. Our EBITDA was down 5% in 2005, this can be attributed entirely to the $133 million of non-recurring expenses owing to the extended labor disruption. Factoring this out, we would have increased EBITDA by 2% in our wireline business. Our result that compares favorably amongst our global peers. Simple cash flow was still at substantial $938 million from our wireline operations, although down in somewhere 5% on a year-over-year basis. I am pleased to know that in the face of the labor disruption, TELUS managed to move forward with major product launches in both business segments in the fourth quarter of 2005. TELUS launched our next generation in wireless high-speed network service with the deployment at EVDO in five major Canadian cities. And this service offers different clients wireless data transmission speeds between 400 and 700 kilo bits per second, which is at least six times faster than existing TELUS data services. The greater bandwidth afforded by the EVDO deployment will be a further catalyst for continued wireless data growth, supporting such services as mobile TV, video and music downloads and AirCard applications for business customers. Moreover the EVDO platform provides us with a material speeded message over our GSM competitor in business data applications. On the wireline front, TELUS progressed our future friendly home strategy and expanded our suite of services for mobility and securities, now to entertainment. TELUS TV has moved beyond the trial phase in both Edmonton and Calgary with a phased neighborhood roll-out of its all digital television service. TELUS TV delivers differentiated customer choice without resorting the value destroying and price discounting. But they are soon to be constructed satellite head end in British Columbia, we will be in a position to continue the roll-out in its province in the second half of 2006, with employee trials commencing in the first half. Investors that had been involved with TELUS in recent years will know how important the result set out on slide 6 are to our company and our management. It is our belief that you can only truly judge in investment or company to be superior if they can built and sustain consistent performance year-in and year-out. The 2005 results end as well, our robust growth targets for 2006 demonstrate that we are on track for continuing our leading performance against our global telecom peers. This value creating growth in revenue, EBITDA or operating profit, EPS and cash flow remains top quartile or better in almost all cases over the 4 year period. What is striking about this type of financial deployment is that it affords to tell us the ability to focus on the long-term without being overly reactive to short-term issues. Moreover we can afford to assess and invest the J-curve investment opportunities in our core businesses that are expected to create value in the years ahead. The strength of TELUS is asset mix, is reflected by the fact that we can find and implement long-term growth initiatives, such as TELUS TV or the EVDO investment without undermining a top-core – top financial performance at the corporate level for TELUS Corporation. Let me now turn to slide 7, and update you on the progressive collective agreement that we have realized with our unionized team members. As I mentioned last quarter, we were determined to bring the collective bargain process to a positive conclusion for our shareholders, our customers and our team members. The process to achieve this outcome took time, perseverance and a great deal of strategic thinking. We remain convinced; the outcome toward this investment of TELUS resources. I should mention at this stage, return to work process for 8000 employees into early December was extremely well organized and executed. Furthermore we’ve been encouraged by the strength of team member, reengagement and TELUS’s business strategy and operations. TELUS now has a five-year agreement that provides labor certainty effectively into 2011 for some 14,000 TELUS team members. This is the longer than normal timeframe for North American industry union contracts and we’re pleased to be often provide that stability for the next five years or better for our investors, customers and team members. TELUS is operating now with an agreement that truly allows management to productively run the business, which is so necessary in increasing the competitive marketplace in which we operate and compete. Under the provisions we do agreement, we are in the process of outsourcing those jobs that are not cored to our telecommunications operations. And the first phase in outsourcing has already been completed. Additionally, this last week we finalized the consolidation of two call centers and a dispatch center. In total, about 500 positions have been reduced or reassigned with an additional 200 remaining to be completed in the near-term. What is particularly important about the contract is that it affords more flexibility to serve customers with an increased proportion of temporary and part-time employees. This greatly improves TELUS’s ability to schedule and optimize fluctuating workloads in a highly competitive environment. Also pertinent for enhancing productivity was the reduction in holiday days, 9 to be exact for almost 6000 TELUS team members. This means we have approximately 54,000 more days each year to assign to our core operations without hiring a single new employee. Another non-sugar consideration is that the agreement clearly supports the ongoing transition to a high performance culture within the TELUS home. Two catalysts are the implementation of universal, at-risk and variable pay, and as well team member advancement now being contingent upon merits rather than purely seniority. This landmark collective agreement is a significant milestone for TELUS and it helps a new constructive era for our team. It is clearly reflected by the agreement to work jointly with the union to withdraw about 20 legal proceedings and institute with the union, common interest board meetings. Turning now to slide 8, another key investors meeting again in 2005 and carrying on into 2006, the TELUS’s demonstrated commitment to return cash to our investors. Our consistent strategy since 2000 has produced a superior asset mix. TELUS’s strategy is producing significant cash flow that it been used to invest in core business operations and as well it also supports recurring model to return cash to debt and equity holders. This model begins clearly illustrated and executed throughout 2005 and into 2006. In December of 2005 we leveraged our strong cash position to redeem $1.6 billion of debt six months ahead of schedule. Moreover TELUS’s repurchased in December 2004 a total of 23 million shares of equity for $970 million. Continuing our program in this regard we’ve already commenced purchases under our second issuer bid for up to 24 million shares by December 2006. Finally this last quarter we announced the second consecutive increase in the TELUS quarterly dividend. The 37.5% increase from $0.20 per quarter to $0.275 it entirely consistent with our sustainable dividend growth model first announced in the 2004 financial year. And as well it evidences the transparency we provide investors with a clear dividend payout guideline. Notably TELUS provided a best-in-class return of capital to shareholders of over 7% in 2005. This is measured on a per share basis by combining share repurchases and cancellations and as well the dividend yields of TELUS Corporation. TELUS generated this cash return to investors, TELUS exceeded our financial targets for 2005, and TELUS launched our wireless network upgrade and TELUS TV product all in the presence of a 16 week significant work disruption. Before turning the call over to Bob, let me briefly outline our 2006 corporate priorities as shown on slide 9. These priorities built on the new collective agreement as well as the recent integration of our wireless and wireline business into one cohesive operating entity. These five priorities have a direct and consistent linkage to advancing our national wireless and data growth strategy. We have a consistent and direct linkage to improving customer loyalty with TELUS’s innovative deployment of IP solutions for both business and consumer customers. These priorities have a direct connection to institutionalizing in continued productivity and service improvements at our organization. And finally these priorities reflect the strengthening and developing of the best talent in a Canadian if not the global telecommunications industry within the TELUS home. These key priorities also directly support detainment of our leading 2006 financial and operating growth targets that we have postulated and that we are seeking to realize. Now over to Bob, to brief you on the strong quarterly results that continue to be generated by the team of people at TELUS.
Mr. Robert G. McFarlane, Chief Financial Officer and Executive VP: Well, thanks Darren, and good morning everyone. Let me begin with review of TELUS’s excellent fourth quarter wireless results shown on slide 11. TELUS continues to deliver double-digit growth across the board, excellent wireless revenue growth of 16% was driven both by strong subscriber growth and continued ARPU expansion. EBITDA grew 14% reflecting higher cost of acquisition expense associated with record gross additions of 421,000 which is nearly 69,000 more than last year. And also includes 3 million in additional net expenses incurred as a result of our labor disruption in Western Canada. We are pleased that we are able to successfully increase our wireless CapEx, the increase is a result of the deferral and some third quarter network capital into the fourth quarter due to the labor disruption. And primarily relate to our strategic investments in our next generation EVDO capable wireless network. Turning to slide 12, TELUS reported record fourth quarter net additions of 235,000 new subscribers. While postpaid net additions remain relatively stable year-over-year had a 143,000, TELUS experienced strong growth in prepaid during the fourth quarter. Our seasonal promotions in the prepaid space were quite effective in driving volume in this category. Prepaid represented about 39% of our fourth quarter net additions. Our total subscriber base increased by 15% year-over-year, with postpaid subscribers as a percentage of total subscribers remaining at an industry high 81% of our 4.5 million total subscribers. Turning to slide 13, since TELUS is the last major Canadian carrier to report wireless additions, we now have the data to review subscriber growth momentum in the Canadian market. As you can see despite some recent fears to the contrary, the industry continued to grow at an accelerating pace. There were roughly 680,000 industry net additions in the fourth quarter of 2005 and nearly two point penetration gain. Wireless penetration had close to 52% in Canada represents the 5.1 point expansion in the past 12 months and marks the third straight year of accelerating subscriber growth. The 1.8 million net additions in 2005 were the highest in Canada since 2001, so peers of a slowdown in wireless subscriber growth are premature and unfounded based on actual results of the past year. The next slide shows two things the first is the positive industry wide trend of the increasing Average Revenue Per User or ARPU and second the TELUS continues to maintain our industry leading ARPU with a significant premium to our next closest competitor. TELUS’s ARPU increased by $2 to $63 primarily driven by growth in consumer and business data usage, unbundled features as well as a 5% increase in voice minutes of use, which together more than offset traditional voice price reductions. Of note our postpaid ARPU increased to $71 in the fourth quarter and our prepaid ARPU grew to about $26 approximately double that of our major peers. This is an important point to keep in mind when valuing our customer base. Slide 15 show TELUS focus on profitable growth compares to our direct competitors with a premium ARPU and a low blended churn rate down slightly despite a labor disruption TELUS is generating a lifetime revenue per average subscriber of $4400 well ahead of our peers. Therefore while COA was higher TELUS’s wireless marking efficiency as shown by COA as a percentage of lifetime revenue remains very attractive. Well I could go on at length at how TELUS’s overall 2005 performance tax up against the North American peers I will leave it to this next slide which is probably the most important for investors. This shows wireless cash flow yield as measured by EBITDA less CapEx as a percentage of revenue. At 31.5% TELUS’s 2005 cash flow yield was the highest amongst the North American wireless carriers that is so far reported 2005 year-end results. This reflects TELUS’s excellent subscriber metrics, leading wireless EBITDA margins and low capital intensity even while continuing to invest in network upgrade capacity and expansion. The next slide 17, recaps TELUS annual results relative to our original public targets set in December 2004. As you can see we significantly exceeded our wireless target ranges for revenue EBITDA and subscriber net additions while CapEx was consistent with our plans being slightly above range, given the variable COA with higher subscriber loading, it is truly impressive that we are able to report significantly higher subscriber additions than expected while also exceeding our EBITDA target range. Clearly this was another tremendous year of economic creation in our wireless operation. Slide 18, recaps TELUS’s annual performance relative to our most recent guidance made on December 16th the check marks across the board reflect out impressive ability to project the final two weeks of the year that go into my finance team. Turning now to the wireline’s results for slide19, TELUS revenue was remarkably stable despite the labor disruption affected our ILEC operations in Western Canada in the fourth quarter. The fourth quarter revenue breakdown is shown here, essentially growth in local and data revenues were offset by declines in long distance voice equipment sales. The long distance revenue decline reflected increased competition as well as constrain resources and winback activities during the labor disruption. Data revenue growth was 7.2% on a reported basis. Consumer data revenue growth continued but slow this quarter due to lower internet addition since a result of the labor disruption. Also mandated CDNS discounts offset increased data revenues from acquisitions. Underlying organic data growth was approximately 6.8% when excluding the impact of regulatory decisions and acquisitions made in the past year. Slide 20 shows overall financial results for the wireline business. Notably our wireline revenues remain stable year-over-year despite the labor disruption and competitive activity. In part this reflects the success we had in maintaining service levels during the work stoppage. As expected wireline EBITDA decreased during the fourth quarter. As a result of increased expenses associated with emergency operations activities which maintain service levels at higher than expected levels during the disruption as well as increased restructuring and workforce reduction cost of $36 million. We estimate that net expenses associated with the labor disruption were approximately $49 million in wireline, excluding cost for revenue impacts. Adjusting EBITDA for these non-recurring expenses as well as for restructuring cost in both periods means that our normalized EBITDA would have been down 1.6%. CapEx increased 4% as TELUS start to catch up one deferred capital network investments cost by the labor disruption and to support new growth initiatives like TELUS TV. Depicted on slide 21, our non-incumbent operations in Central Canada remains successfully focused on generating quality recurring data focused revenues. Revenue was a $165 million up 6% and we had our 5th straight quarter of positive EBITDA at 7.1 million. These operations were for the most part unaffected by the labor disruption in the west. Moving on to slide 22, we can see that we added 27,000 new high-speed internet subscribers in the fourth quarter. We are pleased with this result since it was achieved despite the constraints posed by the labor disruption our marketing and fulfillment capabilities. However we are able to successfully maintain service levels during the disruption and as a result customer retention rates remain significantly better to an experience last year. Including 236,000 dial-up subscribers TELUS’s total internet base now totals just under 1 million with 76% subscribing to our higher speed ADSL service. Slide 23 shows TELUS network access line or NAL performance which decline 2.4% year-over-year. As expected TELUS experienced increased residential line losses down 3.6%. This reflects increased competitive activity from resellers and VoIP competitors, including cable telephony competition in Calgary, Edmonton and Victoria. Ongoing substitution to wireless, as well as second lines to ADSL and the impact of the labor disruption which affected TELUS’s ability in the west to add or retrain customers or for that matter to complete out orders. Business lines fell 0.4% year-over-year, but increased sequentially due to growth in non-incumbent business lines. To conclude on wireline, turning to Slide 24. It is remarkable achievement the TELUS network exceeded all of our original financial targets for wireline in 2005. Which were considered challenging at the time despite the impact from the labor disruption which was not factored into the targets. Revenue was well in excess of target were a non-incumbent performance was notable on both revenue and profitability. TELUS missed on our – only on our high-speed internet net adds, where performance was significantly negative, negatively impacted by the four months of labor disruption. On slide 25 you can see that the 2005 wireline results were in line with our most recent wireline guidance provided in mid-December. Again to those to our financial planning team forgetting the last two weeks at December, correct. Now let’s turn to TELUS’s consolidated results as shown in slide 26. Consolidated fourth quarter revenue was up 6%, to 2.09 billion driven by the strong revenue growth in wireless. EBITDA fell 4% due to the lower wireline EBITDA caused by the labor disruption while EPS fell 42% to $0.22, I’ll elaborate more on the reasons for this in a moment. CapEx rose by 9% this quarter as mentioned earlier, due largely to catch up spending in December resulting from the labor situation and continued network investments. Slide 27 shows that underlying consolidated EBITDA normalized for restructuring cost in both periods was down only 2.2%. Furthermore excluding the 52 million in net labor disruption expenses in the fourth quarter, consolidated EBITDA would have been up 4.4% despite the record wireless subscriber loading. Let’s look at EPS now on slide 28. As mentioned reported EPS was down 42% this quarter, however there were many unfavorable items that have been distorted, that distorted the true underlying growth rate. Restructuring and workforce reduction cost depressed earnings by $0.07 this year versus $0.04 last year. The two other large non-recurring items included the $0.10 EPS impact from increased net labor disruption expenses as well as the $0.06 financing charge incurred as previously disclosed to redeem early 1.6 billion of notes. Normalizing for these items as well as tax-related adjustments you can see that the underlying growth rate EPS would have been a more favorable 40%. This clearly illustrates the real strength in TELUS’s underlying earnings potential now that the labor disruption is behind us. Slide 29 shows how 110 million in reported free cash flow was generated this quarter. Higher net cash interest reflects the one-time financing charge for the early redemption of debt, while net cash tax recoveries of 47 million relate to the settlement of prior period tax issues. Looking below the free cash flow line an additional 19 million was raised through option exercises and 350 million from an expansion of our existing accounts receivable securitization program, while 97 million was used for cash dividends. A net 30 million was used for working capital and other including the lump sum and retroactive payments made to unionize the employees as a result of the ratification of our new collective agreement, offset by an increase in trades table as a result of increased OpEx and capital expenditures in the quarter. This let 352 million to apply to our December first debt redemption as well as for continued share repurchases. Slide 30 details TELUS’s share repurchase activities already touched on by Darren. TELUS was again active in the quarter repurchasing 5.1 million shares for $229 million. The fact we didn’t slowdown our share repurchase activities in the fourth quarter despite a large debt redemption and cash payments to employees underlines our commitment to returning capital to shareholders. Let’s move to the next slide 31. On December 1st TELUS early redeemed 1.6 billion in notes. As a result we incurred a $33.5 million pretax loss on the redemption. However the transaction was modestly NCIB accretive to TELUS as this loss was lower than the interest in swamp related cost what would have been recorded over the remaining term of the debt. TELUS finance the bond redemption mainly through cash on hand as well as the proceeds from the $350 million increase in the accounts receivable securitization program and finished 2005 with a 142 million in a bank programs. As Darren mentioned we announced our second dividend increase since establishing our dividend payout ratio guideline of 45% to 55% up respective sustainable net earnings. All of these activities demonstrate TELUS’s track record for returning capital to investors. As outlined on slide 32, following TELUS’s September 26th announcement of its intention to redeem the 1.6 billion in notes, three of the four credit rating agencies issued positive upgrades to BBB+ or the equivalent BBB high rating level for TELUS Corporation. And DBRS also rates our wholly owned operating subsidiary TELUS Communications Inc., one notch higher at A (low). As shown, TELUS comfortably met its long-term financial policy leverage target through net debt EBITDA of 1.5 to 2.0 and net debt total capitalization of 45% to 50%. I’ve often been asked by media about the significance of TELUS achieving our annual financial targets, even many companies are viewed as only announcing targets which are easily achievable. So let’s look at slide 33, we reacquaint ourselves with what the street consensus for 2005 was, just prior to the announcement of our original targets in December of 2004. As shown here, our original targets were been real realistic street estimates at the time and we’re at or above consensus street estimates in all cases. Turning to slide 34, we compared TELUS’s consolidated results to our original targets. TELUS achieved or exceeded all original consolidated financial targets based primarily in the strength of our wireless results as well as the resilience of our wireline operations. This is remarkable when you reflected this, it’s been accomplished despite incurring an extended and expense of labor disruption not contemplated at the time we set our original targets. As shown on slide 35, you can again see that we achieved our most recent December 16th consolidated guidance for 2005. I should add that I’m sure why some in the street elected to ignore our guidance with only two weeks remaining in the year. And before I conclude with our 2006 targets, let me provide an update with regard to TELUS pensions. This is been a hot topic of late and a tough issue for many companies. In our case TELUS ended the year with strong investment performances in our pension plans, leaving the 98% funded in aggregate. Also I should mention that at the beginning of 2006 we closed our defined benefit plans to new TCI management employees. We currently expect to contribute approximately $165 million in pension funding in 2006 across both our defined benefit and defined contribution plans as compared to 160 million in 2005. In addition, we have finalized our discount rate assumption for 2006 from reflecting the year-end yield curve, it is been lower to 5.0%. This compares with the 5.25% level assumed and disclosed on the December 16th with our preliminary 2006 targets and at 6.0% actual discount rate assumed for 2005. However the impact of the lower discount rate for 2006 is expected to be offset by the strong investment performance which we achieved in 2005. Slide 37 provides an overall summary of our 2006 targets. Looking ahead, TELUS is reiterating its robust 2006 targets announced in December that reflect revenue growth of 6% to 7%, EBITDA growth of 6% to 9%, EPS growth of 22% to 33% and an increase in free cash flow to more than 1.55 billion even with slightly higher CapEx some of which is deferred from last year due to the labor disruption. When you scan these growth rates, I believe it is fair to say that the 2006 targets build upon our track record outstanding growth and compared very favorably to our peers on a global basis. In summary, TELUS has reported solid quarterly and full year consolidated results despite a one-time impact from the labor disruption in an increasingly competitive environment. Strong profitable wireless growth set to continue at TELUS and the outlook for Canadian industry remains very attractive. The five-year collective agreement achieved in November allowance for increased effectiveness and efficiency into 2006 and beyond. We are generating significant cash flow for shareholder enhancing initiatives such as our share repurchase program and dividends. And TELUS is targeting strong growth in revenue, earnings, and cash flow again this year. We expect that we can execute against these attributes that we could continue to create value for TELUS investors. With that Darren and I would be happy to take your questions, so I’ll turn the call back to John to moderate the Q&A portion of today's call.
John Wheeler, Vice-President, Investor Relations: Thanks Bob. Just before I turned the call over to Haggy to conduct the Q&A session, can I please ask your cooperation for one question at the time please. However if you do need a follow-up question related to the answer to your first question that is appropriate. Haggy, please proceed.
Operator:
Operator Instruction:
Q - Jonathan Allen: Thanks very much. Bob, the COA increase of 10% was a bit of a surprise. Just given that the postpaid gross in that addition seem to be more or less flat year-over-year. And the subscriber increases really more on the prepaid side which is usually associated with lower COA. So I am curious, first of all, is this a one time increase that we saw in the fourth quarter with COA going up? Or you finding it a little bit more difficult perhaps to continue adding the customers going forward?
A – Darren Entwistle: Oh Jonathan couple of things. Firstly, I think we need to keep in mind that these results were accomplished during the quarter when we had a labor disruption. So one of the tactics the company shows to you was to elevate our media spend in the quarter in part to compensate for that factor. So it’s a little difficult to say as to what would have occurred in the absence of disruption but clear I think there would have been no more throughput et cetera and a better result on that basis. I try to point out the way of course that we do look at is the efficiency to spend and given the ARPU churn profile that subscribers we certainly have, again a good return on the COA investment. I think as well in the quarter there is a bit of a tactical shift lead by some of our competitors to point of purchase promotions which we responded to later in the quarter and of course those are variable with that, so you don’t get a scale pick up as volume pick ups as a result. So, whether those types of promotions and activities that continue I am not so sure, they are typically associated with a Christmas type of promotion season. So target predicts the dynamic in the interplay between competitors, but I think you should see a return to more normal COA levels in our organization in the wireless front.
Q - Jonathan Allen: Now, you mentioned the advertising cost or spent went up during the labor strike. Is that something then that we should assume that should more or less not happen again, say next holiday season for 2006, that there were some component in there that was more one-time in nature?
A – Robert McFarlane: I don’t think I can give you assurance one way or the other. We certainly are not comfortable with giving our long range, the media campaign tactics, on a public environment like this. Obviously we review the efficiency, I think anyone who is watched TV etc. can only be impressed with the quality of the advertising that we continue to have and we found it to be effective, and as to what the intensity will be going forward, I think we’ll have to remain tight with that.
Q - Jonathan Allen: If I could ask a definition or clarification question; on COA I noticed the general and the admin cost it really accelerated in the fourth quarter up about 21% compared to 9% run rate in the rest of the year. Was there some impact with COA within that category, how do you define the COAs what I am getting at?
A – Robert McFarlane: Well, I think you are referring to the wireless COA?
Q - Jonathan Allen: Correct.
A – Robert McFarlane: Yeah, okay so wireless COA principal components we consistent as, we already mentioned the media spends call that advertising as well as promotion. The commissions are paid to the distribution channels along with the handset subsidy. And so those are the principal elements that comprise it and they are in the operating expense line for, on the wireless side but specifically in marketing.
Q - Jonathan Allen: So nothing in that, necessarily in general within then then?
A – Robert McFarlane: Not that I can think of, no.
Q - Jonathan Allen: Okay well before John cuts me off, I am going say thank you very much.
A – Robert McFarlane: You are welcome.
Operator: The next question comes from Vince Valentini with TD Newcrest. Please proceed with your question.
Q - Vince Valentini: Thanks very much, stick with the wireless metrics here, the retention spending jumps to 7.3% of revenue from 6.2%, can you give us any color on whether that’s a good run rate going forward, if there is anything one-time in nature in there and can you give us any color on what you are getting in return for those investments, what type of contract links, can you give us any sense of where your base is right now and whether that’s improving in terms of more through your contracts versus the way you had a year ago?
A – Robert McFarlane: Okay well, basically we look at retention spend effectiveness as a function of whether it’s correlated with driving a churn rate lower or not, and in that respect I mean we had a labor disruption and had a reduction in our churn rate. So, think about that one for a minute and I would suggested that our retention efforts have been quite successful, so from that standpoint the answer is we’re quite pleased with the efforts, there is an experimental aspect to it from time-to-time, you take it up or take it down and just see what the incremental change is, so you can be sure that you’ve got the right correlation factors, and therefore our spending at the right levels, we generally found though that it’s a is a high return on investment for organization. So we’re quite happy with what occurred in the fourth quarter.
Q - Vince Valentini: And just a clarification follow-up, how would you count Voice over IP customers that you provide the wholesale service for, do you count those in your business or residential access lines?
A – Darren Entwistle: They would, to the extent that we have a line provided to our wholesale operation to another carrier, it would be reflected in our business NALs.
Q - Vince Valentini: Okay thanks.
Operator: Your next question comes from Marje Soova with Goldman Sachs. Please proceed with your question.
Q - Marje Soova: Thank you, just wanted to ask if you could give us any more detail in terms of the prepaid subscriber economics, prepaid can produce much as higher than postpaid due to the high per minute revenues as we’ve seen from European experience, but the key is to keep the acquisition cost low. So I wanted to just get a sense of, is there anything you can help us with in terms of margins, how they compare prepaid versus postpaid for TELUS and cost of acquisition as well? Thanks.
A – Robert McFarlane: Okay well what I can do is point out in our case around it, our ARPUs for prepaid in the fourth quarter were $26 per subscriber. So on the Canadian contacts that would compare to the low-teens for most of our competitors. So there is a quite different financial or economic analysis or implication I guess when you compare the different prepaid offerings. In our case, for a variety of reasons, the type of products we sell, the type of market segments we market towards, the purchases of their prepaid product end-users, use it a fair bit and generates the $26 ARPU. As you know our overall churn rate at 1/4th is a blended one but having said that in our case we have a, a healthy lifetime revenue for prepaid, then the key is I think you are employing is, if you want to have an efficient cost of acquisition in terms of obtaining subscriber, in our case we were quite successful in the fourth quarter with a program that was quite easy to purchase bundles on the airtime along with the handset, and I think was immensely popular as you get product. So that is, that outcome I guess is fairly conventional in terms of the Canadian market or the fourth quarter prepaid definitely takes this fight up and that’s what we saw in our case to about 39% of our total additions. So at the end of the day, outlined in this call I won’t give segmented COA and churn et cetera, safest to say that we’re happy with the return profile the prepaid, but having said that, I think, reflecting the 89% of our -- 79% of our base which is postpaid already, our primary marketing effort is directly towards the postpaid space.
John Wheeler: Okay Haggy next question please?
Operator: Your next question comes from Peter Rhamey with BMO Nesbitt Burns. Please proceed with your questions.
Q - Peter Rhamey: Bob, I was hoping to…
Operator: One moment please. Please go ahead Peter.
Q - Peter Rhamey: Hello Bob, can you hear me?
A - Robert McFarlane: Yes I can Peter.
Q - Peter Rhamey: Oh great. How quickly does the – is the strike related impacts go away in Q1, you had a $0.10 impact this quarter. I think experiencing – sometimes these impacts can, I mean go on for a number of quarters after despite this result. I was hoping if you could give us a correction in that?
A - Robert McFarlane: Yeah, fair enough, Peter. Our strike ended in late November, the reality is that with the back to work program, sound like they are going to return to work the next day. So it was over a number of weeks and we gradually returned to our operations to normal. So I would say that while the – virtually entire fourth quarter was affected in one way or the other in a significant fashion by the disruption. As we get to January 1st and on in the first quarter there is really minimal impact. So I wouldn’t expect that there would be any notable lingering cause that will turn up in the first quarter.
Q - Peter Rhamey: Great, and if I can ask a related question then, just looking at your cash flow statement and I am trying to isolate where the labor settlement cost might have been accounted for here?
A - Robert McFarlane: Okay, excuse me. The labor, if you recall – because our contract expired almost five years previous, we have been accruing for the labor settlement in our accrued liabilities and payables. And so, then as people return to work which as you may recall approximately 60% of our Bargaining Unit members in Alberta get returned to work during the labor disruption. If they returned by certain date they received their lump some, more portion of their lump sum catch-up payments owe to them. So a portion did grow up in the third quarter, and then the bulk of it of course went out in the fourth quarter. So essentially it’s a reduction of the payables and that what show up on the slide that I had in terms of the working capital volume. So there was no incremental cost to the P&L, because the expenses that already been occurred.
Q - Peter Rhamey: Right, and on a free cash flow basis, it would have impacted your free cash flow number in the quarter?
A - Robert McFarlane: It would, because it was netted into the working capital, it was virtually all paid out in the fourth quarter, it’s reflected in the ’05 numbers.
Q - Peter Rhamey: Could you share that number with us?
A - Robert McFarlane: Well, it was approximately $200 million in payments.
Q - Peter Rhamey: In total?
A - Robert McFarlane: In total, yeah.
Q - Peter Rhamey: It’s not in the quarter level?
A - Robert McFarlane: That’s correct
Q - Peter Rhamey: Okay thank you.
John Wheeler: Next question please.
Operator: The next question comes from Robert Goff with Haywood. Please proceed with your question.
Q - Robert Goff: Thank you very much. My question is a follow-up on Vince’s. Could you go over the percentage of wireless adds that were on two-year or three-year contracts, and then also give us some perspective on where your base would be on for contracts? Thank you.
A - Robert McFarlane: Bob, for competitive reasons, we don’t think it would be prudent to give the disclosure in terms of how many, one, two, or three years contracts, suffice to say that our organization has been offering three-year contracts for a number of years now and so, presumably whatever the distribution is in the industry we would be more elongated in terms of duration that appears.
Q - Robert Goff: And that would have been true as well on the quarter?
A - Robert McFarlane: I really don’t want to get into the specifics, certain competitive implications be wiser to avoid.
Q - Robert Goff: Okay thanks Bob.
John Wheeler: Okay Haggy next question please.
Operator: Next question comes from Jeff Fan with UBS. Please proceed with your question.
Q - Jeffrey Fan: Thank you very much. Just wanted to ask a little bit about the office closure and the contracting out of the five people that were affected by that, can you elaborate on the number of people that accepted voluntary retirement or your departure plans? And then the second related question is in terms of the integration of the wireline and wireless operations. Are there any redundancies that’s, that you are going to able to remove through that integration? Thanks.
A – Darren Entwistle: Thanks for the question Jeff, in terms of what we have done in the first phase of our contracting out of non-core operations within the TELUS home, we have proceeded with the contracting out provision that have allowed us to affect up to 507 positions within TELUS. Of those 507 positions about 60% have been reduced or eliminated within TELUS and the remaining people are being reassigned back into core operations, that effectively relates to the outsourcing activity in addition to that we are also, as I indicated in my remarks enjoying efficiency gains in respect to office closures or consolidations, as it relates to call centers and dispatch centers and we will be looking now going forward to the future to either eliminate or reduce a further 200 positions as a result of those initiatives, that is still to come. But thus far we’ve done 507 in terms of the positions impacted by contracting out, 60% have been effectively reduced with the remaining 40% of the positions being reassigned to core operations within TELUS.
Q - Jeffrey Fan: So, the 200 position is that, in addition to the 500?
A – Robert McFarlane: That’s correct.
Q - Jeffrey Fan: Okay. And on the integration of the wireline and wireless?
A – Robert McFarlane: We haven’t disclosed any, particular targets in that regard, suffice to say that within the $100 million OpEx provision that we have for workforce restructuring setup for 2006, a material element to that will support the implementation in the new collective agreement but a portion of that money was to be set aside to pursue operating efficiency and effectiveness gains owing to the merger of our wireline and wireless business.
Q - Jeffrey Fan: Well maybe just qualitatively prior to the integration, what sort of – what were some of the support services or functional areas where, wireless and wireline were still kept separate, I guess for instance financial, legal et cetera?
A – Darren Entwistle: Yeah I think in terms of areas like shared service functions as they relate to human resources or finance or legal or regulatory, that there are opportunities there for synergies in terms of the business enablement functions as we bring together IT and in effort there’s opportunities is for not just efficiency synergies but productivity gains owing from the dissemination of best practice across both organizations, and then on the customer facing business unit front we also have the opportunity to improve our economies of scope in areas like our channels to market taking one channel that would previously support one product and expanding it to support a multiplicity of products across wireline and wireless allows us to get better economies and scope out of our channels to market and that delivers a productivity gain to this organization and then add to their sales effectiveness.
Q - Jeffrey Fan: Okay great, thanks a lot.
Operator: Your next question comes from Vance Edelson with Morgan Stanley. Please proceed with your question.
Q - Vance Edelson: Thanks a lot, and good morning. The prepaid strength was impressive considering that Virgin Mobile into the market almost a year ago and presumably they were fairly well positioned for the holidays, could you just comment on the impact that they are having so far, and how you see yourself as competitively positioned in the prepaid market? Thanks.
A – Robert McFarlane: Well Virgin Mobile is a, I guess the reseller of the mobility network, so I am sure they would have more in forum using Sierra partner there, they have more forum response than we would but Virgin Mobile is a target almost exclusively on the use space. So and only on prepaid so from that prospective I guess you could refer to them as a niche marketing organization. In our case we have a much more broader – a broader appeal to the marketplace, and I think your comment is correct that, what is, it is impressive and we did so well in spite of the competition, not only on the likes of Virgin Mobile but you also have the Bell Mobility branded solo, prepaid offering and of course the traditional strength at the, the FIDO come into Rogers organization, so I think to their credit probably deemphasized loading on the prepaid space both in the fourth quarter and in the past year. At the end of the day the TELUS brand is one of the most recognized and like brands in all Canada and from that standpoint Virgin Mobile is surely a brand recognition in the Canadian market.
Q - Vance Edelson: Okay thanks bob.
John Wheeler: Next question please.
Operator: Your next question comes from Greg Macdonald with National Bank Financial. Please go ahead with your questions.
Q - Greg MacDonald: Thank you good afternoon, excuse me. We heard some strong commentary and actually saw some strong action, reasonably strong action from Bell Canada on pricing rationality. You compete with them on the wireless side, I am wondering did the comments affect your thinking on promotional or pricing potential activity going forward. And in particular on pricing and I can appreciate you are the highest ARPU Company in the market. But on pricing, do you get the impression that there is still room to increase prices in 2006 given the competitive environment?
A – Darren Entwistle: Well Greg, I think the answer to that is yes, and there is also room to reduce the prices, it’s a combination of the two in a very dynamic and competitive marketplace. I think the issue goes to being intelligent to go once pricing and certainly the comments that we’ve heard from our competitor are encouraging ones. But of course we have not been the resource of lot of unnecessary discounting in the marketplace. So, I think the implications are more meant for some other parties. I think one of the issues in the wireless space goes to; we are the only company that’s operating without a discount brand in the marketplace. Yet we actually lead the industry in subscriber additions. So I think that gives rise to the question that both the effectiveness and efficiency of multi-branded approaches in the marketplace. And whether they are really accretive to value in terms of having these discount brands. Most recently, presumably I’ve noticed divestments for the Rogers organization basically saying that their discount brand FIDO, which until recently has been marketed as discount brand with interior coverage, now has the equivalent coverage on digital basis, so their whole Rogers network so. That’s all, its the same handset, same coverage at a different price point in the marketplace. So, obviously that’s – that type of tactic in the market is necessarily when it that promotes a disciplined response by the competitor. So I think it’s going to be very important to see not only what Bell forts are but with some of the other enterings in the marketplace such as Rogers, how they behave in our case we’ll act accordingly.
Q - Greg MacDonald: Okay, maybe just a quick follow-on on that, and rather than the opportunity for price increases which I was sort of implying on the high-end on the business side. If I am thinking about lower-end or lets call it used markets, do the comments give you any comfort on your ability to sustain the higher than average ARPU that you have on your prepaid side?
A – Darren Entwistle: Well, I would say directionally of course comments like that are helpful. We need to see how they translate to actions and respond. And again it’s a competitive marketplace. So traditionally we’ve seen, if you look at our own results last year, we had price reductions our self on certain basic rate plans on our voice bundles. But at the same time, the adoption for data and the subscription for additional features and the like and just along with increased usage, more than offset that. So, its understanding that balance and making sure you end up on the accretive side of the equation and really data providers us all the opportunity to do that. So, where we get most disappointed I think is when we see someone have a differentiated product, whether it would be the RAZR phone or a new data offering in BlackBerry et cetera. And yet uses add as a promotion vehicle when they have unique differentiation in the marketplace. And that’s the kind of thing would be contrary to our approach, the marketplace and is probably money being left on the table.
Q - Greg MacDonald: Okay, thanks very much.
John Wheeler: Operator, can we have a one more question please.
Operator: Yes, the last question comes from John Henderson with Scotia Capital. Please proceed with your question.
Q - John Henderson: Yes thank you and good morning. I am wondering if you could, if you’ve actually accessed what the revenue impacts of the strike were in the quarter and overall I guess? Hello?
A – Darren Entwistle: Well, it’s a – John, I guess it’s a good question, it’s – the reality is we have some internal estimates but it’s a bit of a mugs game because you are really assessing what would have happened if we didn’t have a strike and of course since we had a strike we don’t know for sure what would have happen, obviously would have been better. I think it was also important for people to understand as the organization made a very important strategic decision during the labor disruption when we had the return to work that so many people in Alberta, it certainly gave us the opportunity to go one of two ways. We could either go more towards minimizing the expenses associated with the labor disruption and perhaps try more of the traditional service levels that are realized or maintained during disruption or and choose as we did to continue to deploy management overtime and other resources along with working Bargaining Unit members to maintain services levels the best we could. And because we did that, I think we are seeing in the results reflected here some resiliency in the revenues, I mean our revenues basically healthy year-over-year despite the incremental competition in the wireline space and despite having a labor disruption. So, from that standpoint I think we benefited, obviously we could have drove higher revenues, an example of that clearly is in the internet space. So I think you can take a look at the numbers that we did and you could probably estimate what we would be able to do if we didn’t have the strike, the fact that no outbound marketing for the fourth quarter. Obviously in a period with our ability to market aggressively on either internet or long distance et cetera. So at the end of the day, I don’t have a hard number for you, there is a number there but I think the most important thing for investor is as we come out of this phase, really not adversely affected in terms of the robustness for organization to build growth in the near future.
Q - John Henderson: Okay, another quick follow-up in wireless. On the promotional activity side, do you think that it’s a sort of a necessary development that your promotional activity is higher than it was in the past and it will continue on an ongoing basis, how it relate to offset through the handset advantages of GSM like the RAZR and the Rocker and these things that, now you got a RAZR that can you just respond with but and expect though probably continue?
A – Darren Entwistle: Yeah, the reality is that it has some flows. I think what did occur in the fourth quarter is that our competitors were very quick out of the shoot in October to a point of purchase gift with a purchase promotions that were quite affecting the marketplace. So we responded really in the November timeframe, so it’s interesting when you look at the quarter you say record fourth quarter. Well it wasn’t exactly a fast quarter in October for our self. So it shows just how well we did in the back half of the quarter. So in that case clearly we were responding to an extent to what occurred. We certainly have adjusted our prepaid offering in the marketplace, so the same offering doesn’t exist anymore in the first quarter. And what we will do going forward is very much an interaction or an interplay to the dynamics of what each competitor does in the market. So, I really don’t want to give you too much color on a go forward basis for competitive reasons, but suffice to say, I think that market has found the point of purchase promotion is effective that would suggest that they may be repeated but it’s hard to say.
Q - John Henderson: Okay thanks very much.
John Wheeler, Vice-President, Investor Relations: Okay. Thank you very much everybody for joining us today. We really do appreciate your interest and the continued support of TELUS and we look forward to working with you in the coming quarter.
Operator: Ladies and gentlemen thank you for participating in the TELUS fourth quarter conference call.